Operator: Good day ladies and gentlemen, and welcome to Green Plains Renewable Energy Inc. first quarter 2010 financial results conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator instructions) As a reminder, today’s conference call is being recorded. I would now like to turn the conference to your host, Mr. Jim Stark. Please go ahead.
Jim Stark: Thanks, Allison. Good morning and welcome to our first quarter earnings call. Todd Becker, President and Chief Executive Officer; Jerry Peters, our Chief Financial Officer; and Steve Bleyl, Executive Vice President of Ethanol Marketing are all on the call today. We are here to discuss our first quarter financial results and recent developments for Green Plains Renewable Energy. Please remember that a number of forward-looking statements will be made during this presentation. Forward-looking statements are any statements that are not historical facts. These forward-looking statements are based on the current expectations of Green Plains' management and there can be no assurance that such expectations will prove to be correct. All forward-looking statements involve risks and uncertainties, Green Plains' actual results could differ materially from management’s expectations. Information about factors that could cause such differences can be found in this morning's or yesterday’s earnings press release on page two and in our 10-K and other periodic SEC filings. The information presented today is time sensitive and is accurate only at this time. If any portion of this presentation is rebroadcast, retransmitted or redistributed at a later date, Green Plains will not be reviewing or updating this material. Now, I would like to turn the call over to Todd Becker.
Todd Becker: Thanks Jim and thanks for joining us this morning, we are glad you could listen in today. We issued our first quarter earnings after market closed Wednesday and we hope you all had a chance to read it. Let me first start with an update on our safety programs. We have had no major safety incident this quarter and we are continually focused on keeping our employees safe and our plants a safe place to work. In fact, we just celebrated the second anniversary of no lost time accident at our plant in Shenandoah which is a testament to their focus on safety and security of the operation at that plant. Operationally, we had a very solid performance from our ethanol production segment in the first quarter. We produced 124 gallons, which exceeded our expected operating capacity during the quarter. We continue to make excellent progress on debottlenecking program and believe they are producing 500 million gallons of ethanol from our existing six plants is achievable in 2010. The implementation of our operational excellence programs are in full swing. At any given time, the company is evaluating five to ten enhancement initiatives across the production platform. The value of a successful trial is maximized by our ability to immediately roll out the upgrade across our plants because of our consistent technology with five or six being (inaudible) ICM technology. This is one of the main reason we are seeing the increase in production volumes. We are still focusing on the low hanging fruit as we have thought when we reached these volume levels we will need to add additional fermentation capacity which is relatively more expensive to complete and have subsequently found that we can continue to produce the higher level with minimal capital expenditures. We continually focus on controlling costs and managing the business as efficiently as possible, being a low cost producer is accretively important in the commodity processing business. We had good financial results for the quarter. Our consolidated revenues were $426 million and we reported net income of $15.6 million or $0.58 per share for the quarter. But a very strong quarter again in the ethanol production segment, in fact the operating income for this segment was better than last quarter all while margins were contracting from 2009 highs. Jerry will go into more details on results later in the call, but I thought this was important to point out. Our risk management strategy worked well for us in the quarter as we have locked away good portion of ethanol production for the first quarter by the end of 2009 and we were successful in locking the full quarter by the end of February. As a result, our ethanol production segment generated $29.2 million of operating income for the quarter, which was a $0.5 million higher than the segment’s operating income in the fourth quarter of 2009. We ended the first quarter on March 31, with 67 million or 14% of expected production locked in for the next 12 months, most of which is 2010 calendar volumes. I will discuss today’s situation later in the call from a volumetric standpoint. From an industry perspective, ethanol margins are down from the highs experienced in the fourth quarter, but margins are above where they were in the second quarter of 2009. Again, because of our hedging programs we did not fully realize the peak margins available in the fourth quarter, but more importantly avoided the valley during the recent downturn. Since the end of the quarter, we have seen margins start to recover for all of 2010 and I’ll discuss that later in the call as well. Last week we announced completing the acquisition of five grain elevators located in west Tennessee. Combined with our current agribusiness operations we now have 30.3 million bushels of grain storage in our platform. The majority of these are located within 20 miles of our 110 million gallon ethanol plant in Obion, the acquisition not only adds to the diversification of revenue and income stream, it also positions us strategically in the area as a long term viable partners to grain producers in Tennessee looking for a full-service agribusiness operation to build a long term relationship with. I am pleased to announce that we were able to close a new credit facility for our agribusiness segment while acquiring the grain elevators. The amended $85 million credit facility now on place was used to partially fund the purchase of the west Tennessee grain assets and provided working capital for the equator operations. The expanded credit facility is also being used to refinance our existing our agribusiness term loan and to refinance and expand an existing agribusiness working capital facility that was due at the end of September this year. This expanded facility gives us the ability to grow our agribusiness segment which should have a positive impact to our bottom line in 2010. Coming off an environment of tight credit markets while closing this very important financing is a testament to our financial strength and the faith these first-class financial institutions have in the Green Plains model. We also successfully completed a follow on offering during the quarter raising approximately $80 million in net proceeds; we are working diligently to deploy this capital to grow our business. We are a growth business we are planning growing by acquiring more agribusiness operations, ethanol production facility and complementary businesses. We can also grow our diversified platform organically by continuing to debottleneck our plants increasing ethanol production with our existing facilities. I firmly believe that we can increase the financial performance of our agribusiness segment by improving inventory turns at all of our elevators and expanding services at the grain operations that was just acquired in Tennessee. We continue to look for opportunities to expand both our third party ethanol marketing and launch new sites for our blending terminal through BlendStar. The opening of Collins, Mississippi and Bossier City, Louisiana are providing additional marketing opportunities for our production as well as production across the industry. BlendStar is more than just a terminal business. It is an enabler for us to open up new markets and increase plant profitability in the future. Finally, we are still a young company with an experienced and dedicated management team. Our core competency of managing risk continues to show our capability of managing through margin volatility while delivering solid results. Now, I would like to turn the call over to Jerry’s to review our financials in more detail.
Jerry Peters: Thank you Todd. And good morning everyone. For the first quarter of 2010, we reported strong growth in our topline with consolidated revenues of over 426 million, which is an increase of 205 million over the first quarter 2009. The increase is driven by ethanol production assets added in July of 2009 as well as higher revenues from an expansion of our third party marketing business. Consolidated gross profit was 37.5 million for the quarter which is $33.5 million improvement over the first quarter of 2009. This increase is primarily the result of higher ethanol production volumes and better ethanol margins realized in the first quarter of 2010 compared to 2009. Consolidated selling, general & administrative expenses were 13 million in the first quarter which is higher by about 3.9 million than the first quarter of 2009. Most of this increase was due to more ethanol plants and operation and as a result more administrative expenses in our business. I would note however that our corporate overhead was $4.3 million for the first quarter or about $0.340 per gallon. That is in line with corporate SG&A target we have stated previously. Results of our business segment. Segment operating income in total, again, that is segment operating income is total operating income before corporate expenses, was 28.8 million for the first quarter compared to a loss of 4.8 million last year. I’ll take a few minutes to briefly discuss the performance of each of our business segments. Our ethanol production segment reported revenues of $250 million for the first quarter of 2010, that was a significant increase over the $137.5 million reported in first quarter of 2009. The increase is driven primarily by producing approximately 51 million gallons more in 2010 compared to 2009. This is mainly attributable to the addition of the two Nebraska plants in the middle of 2009 and our initiatives to increase and streamline production within our existing plants. Operating income for the ethanol production segment was 29.2 million for the current quarter versus a $4.3 million loss for the first quarter of 2009. If you remember first quarter of 2009 was impacted by a one-time charge of approximately $4.6 million related to the termination of a legacy agreement with side marketers and operational issues at our Superior and Bluffton facilities had also affected operating income by approximately $4 million last year. Again, so there is no misunderstanding, let me emphasize, those charges occurred in the first quarter of last year. I only mention them because the effect of comparisons to this year. Again, our operating income for the segment was up mainly due to higher production volumes and better margins realized in the first quarter of 2010. Our agribusiness segment generated $42.3 million revenue for the quarter compared to $46.2 million for the first quarter in 2009. Revenues were down slightly due to lower grain prices and fertilizer sales, but margins remained steady. The overall increase in the operating loss in agribusiness segment is mainly due to added expenses related to utility costs and dryer fuel costs because of the wet crop they required additional drying carrying over into the first quarter. Again, due to the seasonality of this business the small operating loss was not expected. For the marketing and distribution segment revenues were $388 million for the first quarter 2010 compared to approximately $178 million for the first quarter of 2009. Our third party marketing activities were launched in the first quarter of 2009 and we have seen steady growth in this segment from our own production as well as the production from four independently owned plants. In total, the segment sold 201 million gallons of ethanol during the first quarter and that compares to about 135 million gallons marketed in the first quarter of last year. Consolidating operating income was $24.5 million in the first quarter 2010 compared to a loss of $7.2 million in the first quarter of 2009. As you would expect interest expense was higher than the first quarter of 2009 mainly due to the expanded scope of operation. Consolidated income before income taxes were 19.9 million for the first quarter 2010. Income tax expense was 4.4 million which is an effective tax rate of about 22%. Although we will need to continually reevaluate our tax calculations during 2010 currently we anticipate a comparable effective tax rate for the balance of the year. In summary, we are pleased with the first quarter results with net income attributable to Green Plains of 15.6 million or $0.58 per share on a diluted basis compared to a loss of $9.3 million or $0.38 per share in the first quarter of last year. In terms of EBITDA, we generated $33.2 million, which was a significant increase over the slight negative EBITDA we had in the first quarter of 2009. And as a reminder, EBITDA is a non-GAAP financial measure and I direct your attention to information included in the new release including reconciliation to our GAAP net income. In any event, this is certainly a solid start to 2010. We ended the quarter with a strong liquidity position with $190 million of cash and $38.7 million in available credit facilities bringing our total available liquidity to nearly $230 million at the end of the quarter. We continue to improve our balance sheet. During the quarter we again added to our cash position while making all scheduled debt repayments. As a result, our total debt outstanding was reduced by $9.5 million during the quarter. Now I would like to turn the call back over to Todd for his closing comments.
Todd Becker: Thanks Jerry. I want to spend another minute or two on ethanol margins. As you know our top priority is risk management, that has put our (inaudible) focus on minimizing the volatility of the commodities in our business flow. You have heard me say that our risk management practices would have a slag during the time of margin expansion for a brief period of time, but that we would outperform our margin contraction like what we have experienced over the last couple of months. To a degree, we are margin agnostic. Our total (inaudible) $0.11 per gallon and we locked away margins at or above that level to sustain our business over the long term. Our strategy remains to stay balanced on our commodity positions that we will continue to work on locking away positive margins. In fact, we are seeing an upward sloping forward curve for margins in the third and fourth quarter of this year and are having success in contracting both on a flat price and index sales basis for those periods. Earlier, we discussed our end of quarter volume that were locked. But I wanted to expand on that, discuss where we are at as of this morning. We currently have approximately 20% of our production margins fully locked in for the remainder of 2010. That’s the calendar year 2010. We had moved quickly to secure some sales for Q2 before margins compressed. Recently we have not been able to lock margins in for Q3 and Q4 production as the forward curve has had a structural shift in comparison to 2009. Last year it was more difficult to lock much away beyond a quarter or so. More importantly though, we have index sales in addition to our flat price sales, which takes our total volumetric volume sold over 50% for the rest of 2010 production, yet those additional sales have not been converted to flat price and as we see opportunities to lock in physical corn, we will be able to move quickly to convert those ethanol index sales to flat price locking in the EBITDA margins at that point. We still see bullish – we are still bullish on the ethanol fundamentals, favorable discretionary blending economics till exist and we believe that the upcoming June or July ruling from the EPA on E15 will have a positive impact on ethanol demand, if they approve the additional blend. We work every day to ensure that we are operating and managing the business as effectively as possible always with the view of creating and protecting long term shareholder value. Diversification adds to our sustainability, we will continue to add to or move in to business segment that continue to smooth our earnings in the future. Finally with regard to our investment in BioProcess Algae. I wanted to take some time to review the progress we made in Phase I, our Phase I cultivators or reactors, as we call them, are tied directly into the CO2 scrubber lines from our Shenandoah ethanol plant. The technology has experienced a 100% up time in the pilot unit since inoculation in October of 2009. Phase I successful in demonstrating the scalability of the technology with a 40 time increase in growing volume from the bench scale reactors to the photo-bio reactors in an industrial setting. The current pilot consist of a skid-mounted system including cultivators and associated hydraulics, nutrient delivery tanks, temperature and PH control, automated harvesting, settling tanks decamping capability and algae storage. The plan is for bioprocess algae to break ground in the next 60 days on Phase II of its demonstration algae facility. We will provide a more detailed update on the results achieved from Phase I and the overall scope of Phase II in the near future. Our vision for this project remains the same providing a solution for sequestering industrial CO2 while producing a high quality feedstock for fuel feed and biomass energy. With that I think we will end our discussion at this point and open up the call for questions. Thanks for calling in today and I would like to ask Allison to start the question and answer session.
Operator: (Operator Instructions) Our first question comes from Farha Aslam with Stephens, Inc. Please go ahead.
Farha Aslam – Stephens, Inc.: Hi, good morning.
Todd Becker: Hi, good morning.
Farha Aslam – Stephens, Inc.:
Todd Becker: Sure. What we do is, part of our sales and marketing process, some customers want to only will lock in flat price sales which we can immediately move to lock in our flat price corn with farmers, producers and commercial sellers. Some users like to lock in index, so it’s a relation to the flat price in our ethanol plant so for example, may be in Iowa it might be ten under Chicago and in Indiana it might be two over Chicago, and what we do is we’ll sell the physical product to them in relation to the underlying financial contract and then when we have the opportunity to buy the corn we can either lock those in financially with hedges or we can call the customer that bought the index and convert them to a financial flat price contract then locking in a margin effectively as well. What we have seen is, when we use financial hedges during the quarter, there is about a 99% convergence between financial and physical settlement during that quarter, so we have no issue locking margins while using financial swap during the quarter. So what we have been able to do is, in fact, we did it in the first quarter as well and why we were successful and have been able to lock in margins is that when margins expand and we were able to buy the corn, we locked in immediately with our end user on the financial side and we were able to lock the margin away. So we are seeing that as well for the rest of the year, part of what we sell all the time are index sales and then we convert those to physical flat price sales when we can buy the corn and it seems to be working for us for at least six or 12 months.
Farha Aslam – Stephens, Inc.: Okay. And when you look at the ethanol profitability, that you have been able to lock in during the – for the second and third quarter. Could you just kind of give us some color how it is versus your first quarter results in terms of EBITDA per gallon?
Todd Becker: Sure. I mean, if you look at EBITDA per gallon, we are able to – in the first quarter it converts to about $0.30 a gallon or so EBITDA per gallon. The forward curve certainly doesn’t show that right now, but we have locked in early on, were similar to those at least to get started, may be a little bit less and then the margins at that point compressed. And margins are not at the same levels that they were in the first quarter. What we are seeing in the third and fourth quarter though is that in some of our plants margins are starting to quick back up towards those initial first quarter levels that we have seen, so the curve is very interesting right now where really our best margins that we can lock in there in Q4 and so when the market is – has a very different structure today than they had even a year ago or six months ago where the best margins were always in the next two weeks. And so that’s kind of changed our view on how we market our ethanol. We have to go much further out find the bids for the ethanol lock in third and fourth quarter volume much quicker than we may even lock in next month volumes. But we were successful in getting some tough sold (inaudible) early in Q2 and the rest of it is floating currently with the spot which we have seen – a recovery over the last couple of weeks in the spot margins as well. But they are not as robust as they were in Q4, or what we were able to do in Q1.
Farha Aslam – Stephens, Inc.: And so, just sort of spot margins of kind of where you can realize is that around $0.10 a gallon in terms of $0.15 a gallon in EBITDA?
Todd Becker: We typically – when you look at it, it really just depends on how you look at our operating cost, if you really don’t break out per gallon, so you have to look at the financial crush and then deduct our operating costs from there but I will tell you that in the mid-teens is not very far away for the absolute spot margin, but we really don’t operate in the absolute spot. I would say some clients are seeing less than that because of their operating costs, but that’s kind of where we are at in terms of the absolute spot and the rest of the quarter.
Farha Aslam – Stephens, Inc.: That’s very helpful. And then could you just give some color around that 22% tax rate? What’s allowing you to get to that level and how sustainable is it, into next year?
Jerry Peters: Sure. We had established a valuation allowance, again, some deferred tax assets in prior years as basically we were coming off the period of our start up and so we were generating tax losses and that resulted in net operating losses that we have deferred tax assets on. We set up a valuation allowance against in prior years and – on the federal side, there was about little over $5 million of valuation allowance and so, the guidance that we have given is that if you apply that – apply a tax rate against our full year income – apply a full tax rate against the income and then back off the $5 million of valuation allowance, you will come pretty close to what would be today 22% tax rate.
Farha Aslam – Stephens, Inc.: And so for next year, would you have that allowance again, or does that end this year?
Jerry Peters: No, we would expect that that would be ending this year that we would – by the end of this year we would have fully reversed the valuation allowance and so we would be providing a full level of federal income taxes. We do have various state income tax benefits that will probably cause our state rate to be somewhat modest.
Farha Aslam – Stephens, Inc.: Okay, my final question. I’ll pack it on. The reason for the drop in the volume for the fertilizer sales in the quarter and how do you see results coming this quarter?
Todd Becker: I will comment on that. We don’t really ever – most of the fertilizer income and revenues comes in the second quarter, so we typically would not see very much of that fall into the first quarter. I will give you a – just a little bit of color though. We are seeing a very good season under way in the second quarter. We are seeing higher application rate from the retail level, we are seeing producers come back in and want to continue purchasing as they are applying more and more to the more acres that they are planting. It was a wide open planting season, so our little microcosm of the world (inaudible) Iowa, if it gives you any indication we are seeing a very robust planting season on corn and very good application season of fertilizer.
Farha Aslam – Stephens, Inc.: It was very helpful, thank you.
Operator: Our next question comes from Mike Cox of Piper Jaffray. Please go ahead.
Alex Potter – Piper Jaffray: Hi guys this is actually Alex Potter for Mike.
Todd Becker: Hi Alex.
Alex Potter – Piper Jaffray: Okay, I guess just one quick last comment here on the tax rate. So, we are expecting a 22% tax rate for the remainder of 2010, is that right?
Jerry Peters: Yeah, that is true. I would caution you though, it is dependent upon our full year tax – our full year book income. So, as you are modeling Green Plains, you should be working from that full-year book income you come up with and then account for that $5 million valuation allowance.
Alex Potter – Piper Jaffray: Okay.
Jerry Peters: The guidance that we are giving though is 22% but we will be adjusting it and reevaluating it each quarter.
Alex Potter – Piper Jaffray: Okay. And then I guess, if you could just talk a little bit more about margins locked in. I know that you had mentioned that interesting dynamic now where you are able to lock in margins, further out than you have historically have been able to. Is it possible at this point to quantify, I guess what percentage of your quarterly production is locked in 2Q, 3Q and 4Q?
Todd Becker: Yeah, I mean basically in terms of second quarter, we have I would say in the tune of 75 to 80% of our production are locked in at this point. So, we got ahead of it early. Obviously we didn’t hit – we are not going to hit the most – the highest point of margin that everybody has seen during Q3 or Q4 and Q1 but we are still optimistic that with the small expansion here on the front end in the May and June period that we will have a chance to continue to lock the rest of our quarter away. Then if you go further out on the curve, if you take a look at, we have basically as we had just said earlier, we were able to lock in about 50% of our total volume for the rest of the year in terms of just physical sales of which not all of that is converted to flat price and locked in yet, we do have – they are smaller percentage of Q3 and Q4 are locked in but we are working very hard to look at our Q3 and Q4 production and move some of those volumes over the next couple of months. So, that’s really a –- a big focus of ours is really on the last half of the year with the – what we see in terms of margin, but again, I’ll point out to you that our operating costs are different than the others in the industry and others may not see or they may see better or worse margin than we see on a daily basis. But it is a very interesting dynamic today that we see in the market and I think some of that is due to the potential for E15. The – again, we are going to move through the year and move to expand its mandate in 2011 blend economics are excellent, we are still at a big discount than gasoline from an ethanol standpoint and as we move into the driving season and as we move through the out of winter with where we have built a lot of inventories up because of the eastern storms, what we are seeing is that the blend economics are very good. Now, we are seeing a lot of participants come back into the market that left that were incremental blenders that are fully looking out on the curve and saying it is too good for them to pass up because between the tax credit that they get at the federal level and between the gain they get on the blend margin, it is at least around $0.10 a gasoline gallon in terms of a full blending economics that they are realizing. So, that is why we are seeing the structural shift in the curve that people now wanting to miss that opportunity.
Alex Potter – Piper Jaffray: Okay, yeah and I wonder if you could touch on to – just trying to quantify, I know it might be somewhat difficult to do, but quantify the potential impact that a move to E15 might have on ethanol prices and margins just considering that they are widespread?
Todd Becker: I think a move to E15, in terms of the ethanol price would converge closer to gasoline, pretty quickly as we would see that where areas can blend 15% or where they want to blend 15% the economics are there, they would go after that as anybody would aggressively. And I think that is spread between gasoline and ethanol would converge albeit, corn would probably get to try to go along with it, if that happens, but I think it is interesting because we have such a – potential for a such a big corn crop where the corn can decouple again from energy prices like it had done last year for a little while. In terms of the profitability levels, obviously the demand would be very robust in certain areas because of the higher blend that people can lock in the margins and it is interesting to look at how Q3 and Q4 are shaping up and we feel similar to the feeling of where we were at last year at this time looking at Q3 and Q4 when we gave you indications that we thought we were optimistic last half of the year, we’ll continue to get better I think when we look at the forward curve today, we are optimistic again the last half of the year will get better but we have to move through some of this front end noise in terms of getting rid of some of these larger inventories that we built over the winter because of the eastern storm. I think I’ll just finally say that what we are seeing in terms of demand at this point on a blending basis is that we have kind of fully moved right now from a demand standpoint towards the full mandate in terms of usage and so we are seeing a very, very good return of players into the market on the front end of this. And as we indicated – and as we discussed it in our marketing meeting, we have seen more bids for ethanol in the last five to ten days than we saw in the last three months. So, we are starting to see the blenders return to the market with these economics.
Alex Potter – Piper Jaffray: Okay. Then on the ethanol production side, have you started to see some of the I guess marginal producers go back offline or go idle give them the compression and EBITDA margin recently or ?
Todd Becker: Yeah, we saw some of that, we saw some plants go down fully and we saw some plants scale back and I think that that helped us, which kind of put the bottom in to the market. I would say from our models though, in terms of margin compression, we – I think when we looked at it we never got below debt service at least for very long on our models, in terms of just looking at the good spot albeit remember we lock margins a way early. So, we did see some plant scale back, we saw some plants go down I think the market is getting, becoming disciplined to a scale back in times of margin compression and I think we are becoming much more disciplined as an industry albeit we still have production that that came on during the quarter and we still have some more production to come on for the rest of the year. But I think as we move in and we look at blending economics and when we look at the expanded mandate and the potential for E15, and as well as, again, the great profitability for the blender to gain from using ethanol, I think we will be able to absorb that that extra capacity if it comes on in 2010.
Alex Potter – Piper Jaffray: Okay, that does it for me. Thanks a lot.
Todd Becker: Thank you.
Operator: Our next question comes from Laurence Alexander of Jefferies. Please go ahead.
Todd Becker: Hi Laurence.
Lucy Watson – Jefferies: Hi this is Lucy Watson on for Laurence today.
Todd Becker: Hi Lucy.
Lucy Watson – Jefferies: My first question is on capital deployment. Given the choice between scaling up your grain handling business and adding more ethanol assets, which would be more attractive to you right now?
Todd Becker: It depends on the situation that we encounter. The agribusiness assets that we bought in Tennessee were very appealing from a strategic standpoint, local origination standpoint and a business standpoint and we felt that it was the right time to make that acquisition, which has to be basically fully funded with the revolvers and the term loans put in place. We are seeing several opportunities to look at ethanol production acquisitions, obviously we kind of rank them very similarly we want to expand more grain elevators in agribusiness and we want to expand more ethanol production. At any given time, we are seeing a lot of opportunities – or some opportunities in terms of plant acquisitions, on the ethanol production side and we are focused on really both of these segments. The acquisitions take quite a long time and we are seeing that in ethanol production assets and we are working on several different fronts now and if any of those gets closed, we will be very happy to report that but at this point, we will be looking at both of those equally.
Lucy Watson – Jefferies: Okay. And would you mind discussing the synergies that you might get from the new assets in Tennessee and possibly a longer term grain turnover target?
Todd Becker: Yeah, basically the – except the – when we see – the strategic reason we bought those assets is number one, we have a production asset that uses around 40 million bushels of corn in Tennessee and we also have some space at that plant. We have done a lot of business with a lot of the elevators in Tennessee and we saw the opportunity to produce these assets and not just because they – some of them feed our ethanol plant, but also because they are good business. In fact, I would say four of the five of those assets have not shipped much corn in to the ethanol plant and actually supply the southeast poultry market more than they actually supply our ethanol plant. So, I think from the standpoint they are very good business, they are complementary assets, we serve a lot of the same producers, they are profitable asset that we had the chance to acquire and it just gives us a better position in Tennessee overall but albeit they are not – as we always said and we always will say our grain elevators are required only to sell to the best market. If our ethanol plant is the best market, they sell there if there is another market better than that they sell there, so we buy agribusiness assets because we like it, we also buy them because they are strategic.
Lucy Watson – Jefferies: Okay. And do you have any major investments under way to debottleneck at your current ethanol plants or you are just evaluating a handful of them at this point?
Todd Becker: I would say we are evaluating more than a handful but none of those would be of any major sort of investment at this point. A lot of them are continued debottlenecking which what you saw this quarter was a result of our continuing to become better operators and understand where the bottlenecks are in the plant. And we have seen – we are seeing even more positive results from our process, but none of them are very large in nature and they continue to have very quick paybacks. There are some other bigger opportunities that are out there and we realize that we wanted to make sure we maxed out the low-hanging fruit before we made any major investment into our existing infrastructure.
Lucy Watson – Jefferies: Thank you.
Todd Becker: Thank you.
Operator: Our next question comes from Ian Horowitz of Rafferty Capital. Please go ahead.
Ian Horowitz – Rafferty Capital: Good morning guys.
Todd Becker: Hi Ian.
Jerry Peters: Hi Ian.
Ian Horowitz – Rafferty Capital: I guess I had bunch of questions and I guess to right off of Lucy’s in the debottlenecking. Conversion rate, continue to kind of tick up overall at your plants for sure. And it sounds to me like this is just kind of at the margin, tweaking rather than something made really structural. I mean, do you have some sort of target conversion that we can look at for these plants, without making any drastic changes to the facility?
Todd Becker: I think if you annualize the 124 and consider that we are probably doing better than that today, we are over 500 million gallons of production. As we indicated earlier when we were out raising capital that we thought plants had the capability get up to 500 without any major investments and I would indicate it to you we think the plant has now – our production now has the capability to get into that 520 range without any major capital investments. And we are working close – we are working hard to try to get those numbers and we have made very good progress as you are seeing from our results. In terms of conversion rates, I mean we are still seeing good deals. We are not seeing any impact on yields through our expanded production. We are just getting more throughput through the same assets while yields are staying the same. And we think we still have some upside to go from the levels that we are at today.
Ian Horowitz – Rafferty Capital: SO, are you still running the plants kind of name plates, kind of, an old term but kind of running it at the just kind of 124 run rate in this current quarter.
Todd Becker: We are running as hard as we can run. We have not slowed down our plants at all and as I indicated we are – we think we will make progress every – over the next couple of quarters even above – potentially above the 124, so we have not slowed down our plants at all as we have a lots of margin there early and with what we are locking early and at some of the current spots that we were able to realize and some of the other sales we were able to make. We have no financial reason to slow down our production at all.
Ian Horowitz – Rafferty Capital: CDG [ph] volume came in just slightly below our expectations. Was that an issue of mix between, was it dry or was that just a timing issue in terms of selling through the market?
Todd Becker: I would expect that it was a mixture between wet and dry again our Nebraska plants are little heavy – heavier weighted towards wet and so that that would affect the numbers that you were looking at.
Ian Horowitz – Rafferty Capital: And then Jerry –
Todd Becker:
Ian Horowitz – Rafferty Capital:
Jerry Peters: Right. Again, we are managing a margin, so we are going to be focusing more on talking about margin levels rather than individual commodity prices.
Ian Horowitz – Rafferty Capital: I totally the understand the focus of the business, just from a modeling standpoint; we are not going to go over any of those numbers anymore?
Jerry Peters: That’s right. Again, the commodity prices are readily available in the public. I think you have a reasonable idea of what our basis levels are against those.
Ian Horowitz – Rafferty Capital: Sure. Okay. I kind of came on to the call late. I am not sure if Steve is around.
Todd Becker: He is here.
Steve Bleyl: Yeah.
Ian Horowitz – Rafferty Capital: Hey Steve. Finally I think a little bit of improvement in utilization rate at the alliance level. Can you just talk about how it is going there in terms of the production that you have and then also just kind of talk about any opportunities you are adding on the marketing pool?
Steve Bleyl: I think in simpler terms, you saw from the third party plants, they are also going through debottlenecking and you saw their run rates coming out of them specifically one plant made a large improvement and you saw the effect of it and it tripled us what we marketed for them so that was just a direct effect of the plants running better and making their own debottlenecking and running to – they saw the same margins we did and they wanted to run as hard as they could to capture those margins. As far as all the future ones, I am sorry, go ahead Ian.
Ian Horowitz – Rafferty Capital: So, is there an issue with one of your – no need to name names, but is there a specific partner or specific asset that is dragging the utilization down or is it kind of endemic across the board with your partners, running at a lower rate?
Todd Becker: We had one of our – one of the plants that we market for, and this is Todd, they wanted to actually change out the dryer systems and so they actually took their plant down and as they brought their plant back in the quarter with the whole new dryer system and that’s where we’ll start seeing increase and now they are fully running at capacity and we’ll see them increase going forward. Just, just really came out of that one situation but they want to make that capital improvement to their dryer system.
Ian Horowitz – Rafferty Capital: Understood.
Steve Bleyl: As far as some of the additional ones, there are additional plants out that we look out and we talked to over the last two quarters that we’ll be looking forward to for the rest of the year trying to bring in to the – our third party marketing.
Ian Horowitz – Rafferty Capital: But currently, you are still running at 90 million gallons right?
Todd Becker: Yeah, that’s correct.
Ian Horowitz – Rafferty Capital: Okay. Todd, any color commentary on to that spreads for ethanol assets kind of right now?
Todd Becker: You know what, I think we are still in the range of people would like to buy them for a $1 but I don’t think you can do that anymore, a gallon, and I think that I think the range is going to be probably a $1.10 to $1.30 a gallon if had to put a range on the ability to acquire and then, even then it is – that’s only an estimate and people have come up two quarters of – at least (inaudible) for a good quarter of profitability and a potentially good quarter. Some of them are good quarter and Q1 and I think that people are feeling better about the situation they are in and some of them have cleaned up some of their balance sheet issues. But I think there are still some great plants out there that are looking for consolidation opportunities, looking for liquidity opportunities and $1.10 and $1.30 level in our mind needs good working capital to become very interesting and I think right plant, right location might bring something better than that but I don’t think much higher than that at all at this point.
Ian Horowitz – Rafferty Capital: Okay. And if you go back to Farah’s question on fertilizer, I think the question is we saw in ’09 656 tons and 126 tons here in the first quarter with what seems to be a better planting environment this year than it was last year. So, it is kind of challenge despite we still try to model this business segment, is there any color, any additional color you could give us on kind of why we saw that year-over-year decline in volume?
Jerry Peters: The only thing I could give you there is, it was an extremely cold winter and so the first quarter in northern Iowa, you know, there wasn’t a lot of fertilizer application going on, maybe colder than normal which would cause this strange comparison between the two years, but again the second quarter is really the quarter where you have the activity and we are seeing strong demand in second quarter.
Todd Becker: You have to really look at the first quarter and gauge the business – any fertilizer sales in the first quarter is only because we had an early season because of the temperature.
Ian Horowitz – Rafferty Capital: Understood. Jerry what did you see in second quarter of ’09?
Jerry Peters: I don’t have those numbers here Ian. I’ll dig those out and get those to you.
Ian Horowitz – Rafferty Capital: Okay. And then lastly, I want to get back to the queue and it’s kind of putting the cart way ahead of the horse but have you guys thought at all about the (inaudible) calculation with regards to the algae and the CO2 sequestering and how that may impact your overall natural gas dry (inaudible) comes into play?
Todd Becker: We are looking at that and looking into that calculation. The first thing we looked at is, if corn will not qualify as an advanced bio-fuel. Really in any way shape or form under the new RFS so that’s – you are not going to get that credit. But in terms of life cycle analysis if you sequester the CO2 at an ethanol plant and you can potentially show that in a life cycle analysis on the low coverage yield standard, you actually may get some credit for that. But we don’t – but we haven’t done any kind of real calculations around that except to say that we continue to make great progress on the algae front. We are going to – hopefully get phase II started and we’ll give more color on that but we are very excited about what we are seeing so far from our phase one project and we think that we’ll just continue on and see what the next set of results are.
Ian Horowitz – Rafferty Capital: What do you think the odds are for selling kind of boutique ethanol selling kind of California ready ethanol versus the rest of the country ethanol, do you think that’s going to happen?
Todd Becker: I think the whole question is whether the legal challenges will stop the California ethanol flavor debate and or – and that is kind of what I think between us as an industry, individual companies and even the petroleum industry as well as affecting them. I think there is a plenty of legal fight and challenges going on to look on fuel standard in California, but if it ever happened down the road, you definitely have to figure out how are you going to make the spread. Steve you got a comment on that?
Steve Bleyl: I mean there is just a lot of noise still around it, in getting the final definitions and getting everything in place is how we truly define it. So, it is a – it changes constantly, Ian as we are looking at it. So, the definitive answer, it is not there yet.
Ian Horowitz – Rafferty Capital: Okay. All right guys, congratulations on a very solid quarter.
Todd Becker: Thanks Ian.
Operator: Our next question comes from Evan Fox of Olympia Capital Markets.
Evan Fox – Olympia Capital Markets: Hi guys, Evan Fox, I am on for Paul Resnick. Production ethanol on the first quarter was 500, 000 gallons more than sales. I was wondering what sort of ethanol inventory level you guys have and what is the target and is it mark to market?
Todd Becker: The ethanol inventory, we do see a slight build in inventory, and some of that is caused by ethanol that’s actually in transit where the title of the ethanol doesn’t transfer until delivery. So, that’s included in our ethanol and what accounts for that difference between volumes produced versus volumes sold. So we did have a slight increase there. We are also using our BlendStar space to hold some ethanol closer to the market. And as far as your questions about mark to market, no, that is whole value that cost, production cost.
Evan Fox – Olympia Capital Markets: Great. Appreciate it.
Jim Stark: Allison?
Operator: Our next question comes from Matt Farwell of Imperial Capital, please go ahead.
Matt Farwell – Imperial Capital: Hi good morning, great quarter. I would like to discuss higher throughput levels. You have not given us data on the cost of purchased corn, but in general, did conversion cost increase as a result of the capacity rerating, in other words if the production capacity improvement at all offset by higher conversion costs?
Jerry Peters: Nothing on your – your cost to your raw materials, in fact we actually get the benefit of the higher run rate in terms of our overall production cost per gallon after the four basic, so it actually helps our overall conversion costs.
Matt Farwell – Imperial Capital: Now the SG&A line was up , but it was flat on a per gallon basis so there is – is there an intuitive reason for the correlation or with that (inaudible) non-cash compensation or new hiring or in general do you expect SG&A to scale with production overall?
Todd Becker:
Matt Farwell – Imperial Capital: Okay. Could you provide any color on process areas where engineering efforts have been focused for example the higher throughput results from shifting the mix of nitrogen inputs in the firms or was it more a result of enhancements to the distillation columns of the molecular seeds?
Todd Becker: Those are all actually what we have, we have actually Jeff Briggs in the room, he is our Chief Operating Officer, he may just some color and we don’t to give the whole shop away on what we doing and how we do it, may be Jeff can kind of give you a high level view on some of the things we are doing.
Matt Farwell – Imperial Capital: Sure.
Jeff Briggs: Yeah. A lot of it comes down to improving our capacity, it might be changing out certain pump and colors, changing out most of the timers, it could be some grain capacity increases sometimes we look at different enzymes in terms of way of getting our production now and improving that in the front end and so it is really kind of front to back end and just looking at where your bottleneck is at any given time whether it could be at the distillation process. Once you get that done, and sometimes you got to go to the front end and do some additional things up there in terms of your drawing or your slurry mix, a lot of things across the process come into play as in any continuous flow production process, it is just breaking down, seeing where you are valves strutting to maxed out or your pump speeds are maxed out and attacking those one by one. And as Todd said, our goal is to complete it and increase our throughput organically because it is lot cheaper for us to organically improve our capacity output and then you go out and actually buy additional capacity if we can do it for cents per gallon rather than dollars per gallon so to speak.
Matt Farwell – Imperial Capital: Would you characterize these enhancements as being isolated in one or two of the six plants or were they implemented across the board during the quarter?
Jeff Briggs: No, that’s one of the great things about our platform because about five of our six plants are already in them. We might try something different at several plants and then based on the success we can roll it out to the other facilities. One of the plan operations will become a subject matter expert in one of the projects, they get the results, they get the learnings there, have the learning curve, and then roll it out to the other operations and so it is nice, you have got five sets of tinker toys and labs to go, figure out how to make it better with and then once you get it done at one place you roll it out everywhere and that’s the way it is done. And so what you see in fact, I looked at a statistical process control of our production for the last year and we have the step changes at each of our facilities where we put these process in place and make the changes, we do them and then we take the plant to a new level of operating capacity and that is what you are seeing. You know last year we talked about 480, Todd has already talked about 500 and going beyond that and we are getting these changes once we are able to figure out how to run these at new levels and that’s what we focus on.
Matt Farwell – Imperial Capital: Now, you mentioned 500, I guess, does the company expect to take any plants down for maintenance in the coming quarters or – I mean the 500 is the run rate but can we expect that for the year.
Todd Becker: Apologies after that. I mean basically when we give a number, we know when we gave 480 that included our downtime that we do twice a year, so all of our numbers include planned and scheduled down times.
Matt Farwell – Imperial Capital: Go ahead.
Todd Becker: No, that’s okay.
Matt Farwell – Imperial Capital: My last question is what was CapEx in the quarter?
Jerry Peters: It was about 2.3 million total for the quarter. And that would increase the grain company as well.
Matt Farwell – Imperial Capital: Okay. Well, thank you very much and good luck in the next quarter.
Operator: Our next question comes from Anand Shahi of Atlas Capital Partners. Please go ahead.
Anand Shahi – Atlas Capital Partners: Hi, everyone.
Todd Becker: Hi.
Anand Shahi – Atlas Capital Partners: Most of my questions were already answered but I had a question about your use of cash. I understand you are looking to expand capacity. Do you have plan to pay down debt and that is one?
Jerry Peters: Really our debt service, we focus on making our scheduled repayments and really staying at that position. For us, it is all about maintaining really healthy liquidity because that gives us plenty of options in the market as far as managing our margins as well as making growth acquisitions.
Anand Shahi – Atlas Capital Partners: Okay, thank you.
Todd Becker: Thank you.
Operator: Our next question comes from Luke Beltnick with TPG Credit. Please go ahead.
Luke Beltnick – TPG Credit: I just had a couple of quick questions. One, understand that a lot of the production for Q2 is locked in to the extent that it is not what are you are seeing in spot margins on a EBITDA per gallon basis?
Todd Becker: We gave a little bit of guidance earlier, but we don’t typically give any kind of margins that we are locking in, we are seeing – and our platform still in the mid-teens for – and some high teens and some low–20s depending on the plant for the next couple of months. So, it really just kind of depends on the geographies but overall mid-to-high teens on average. But I don’t know if the industry it sees it the same way, it’s how our plants operate.
Luke Beltnick – TPG Credit: Got it. Thanks. And then jerry do you have a break out of the depreciation and amortization expense by segments?
Jerry Peters: Yeah, we gave the – ethanol production depreciation was 7.7 million, out of a total of about $8.7 million, so about a $1 million on everything other than ethanol production. 7.7 million for the quarter on ethanol production.
Luke Beltnick – TPG Credit: Got it. That’s it thanks.
Operator: And I would now like to turn the call back to Todd Becker for closing comments.
Todd Becker: Thank you. And thank you everybody for coming out on to our call today, we are still very excited about the company that we are growing on behalf of our shareholders and stakeholders and employees. And as we know this is a cyclical business and over the last year we have seen cyclical up turns and cyclical down turns, we are experiencing somewhat of a downturn at this point in the industry, but based on the forward curve that we see today we are optimistic for the remainder of the year as we see margins getting better off throughout the year and we will continue to focus on our core competency the risk management and operational excellence and as we say we are here every day to manage risk and do the best job we can for our shareholders and we look forward to talking with you next quarter. Thanks everybody for coming out today.
Operator: Ladies and gentlemen that does conclude today’s conference. You may now disconnect and have a wonderful day.